Operator: Good morning, and welcome to the WesBanco’s Conference Call. My name is Emily and I will be your conference facilitator today. Today’s call will cover WesBanco’s discussion results of operations for the quarter ended March 31, 2014. [Operator Instructions] This call is also being recorded. If you object to the recording, please disconnect at this time.
 Forward-looking statements in this presentation relating to WesBanco’s plans, strategies, objectives, expectations, intentions and adequacy of resources are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The information contained herein should be read in conjunction with WesBanco’s 2013 Annual Report on Form 10-K and other reports which are available on the SEC’s website, www.sec.gov or at WesBanco’s website, www.wesbanco.com.
 Investors are cautioned that forward-looking statements, which are not historical fact, involve risks and uncertainties, including those detailed in WesBanco’s 2013 Annual Report on the Form 10-K filed with the SEC under the section Risk Factors in Part I, Item 1A. Such statements are subject to important factors that could cause actual results to differ materially from those contemplated by such statements. WesBanco does not assume any duty to update any forward-looking statements.
 WesBanco’s First Quarter 2014 Earnings Release was issued yesterday and is available at www.wesbanco.com. This call will include about 25 to 30 minutes of prepared commentary, followed by a question-and-answer period, which I will facilitate. An archived webcast of this call will be available at wesbanco.com.
 WesBanco’s participants in today’s call will be Todd Clossin, Executive Vice President and Chief Operating Officer; Robert Young, Executive Vice President and Chief Financial Officer; Paul Limbert, President and Chief Executive Officer; and Jim Gardill, Chairman of the Board; and all will be available for questions following opening statements.
 Mr. Clossin, you may begin your conference. 
Todd Clossin: Thanks, Emily. Well, good morning. Thank you for participating in WesBanco’s first quarter 2014 earnings call. We are pleased you have joined us this morning to hear about our strong operating results. I will be making some opening comments; Bob Young, our CFO will provide financial highlights; Jim Gardill, our Chairman will moderate the question-and-answer period; and Paul Limbert, our President and CEO, who will be retiring next week is also on the call and is available to answer questions.
 A press release detailing the results of the first quarter was issued last evening. A copy of the entire press release is available on our website. We will assume all participants are familiar with WesBanco.  We could begin our discussion of the first quarter financial results.
 WesBanco had a very strong and clean first quarter. Our results were better than the fourth quarter of last year and were also better than the first quarter of 2013. We were able to increase first quarter earnings to $16.4 million as compared to $15.4 million for the fourth quarter of 2013, representing an increase of 7%. These strong earnings enabled us to achieve a return on average assets of 1.08 for the quarter and return on average tangible common equity of 15.4% for the quarter, both above recent peer group averages.
 Earnings per share of $0.56 for the quarter, represents an increase of $0.04 per share or 7.7% as compared to the fourth quarter of last year. These strong results have allowed us to raise our first quarter 2014 dividend by $0.02 a share, representing a 10% increase.
 Our dividend has increased 7 times over the past 13 quarters, representing a 57% increase and a current 39.3% payout ratio. Our increased earnings were driven in part by improvements in net interest income through growth in assets and a continued reduction in the cost of funds.
 Growth in trust fees, securities brokerage revenue and disciplined expense management also contributed to the strong quarter. We have shown nice growth in assets over the past 12 months, with portfolio loans growing 5.5% over the last year. Loan originations were $1.5 billion over the same time period. We continue to focus on diversifying our loan originations and in developing a solid balance of commercial construction, commercial real estate, middle market, small business and consumer loans.
 As you’ve heard from others, the weather was a challenge during the first quarter as draws on existing construction loans slowed due to weather conditions delaying outside work. During the quarter some of our construction loans were also refinanced into the permanent market as developers continue to take advantage of the aggressive, long-term, fixed rate financing options available to them. Despite the weather-related slowdown, we were able to offset the temporary effects of delayed construction loan draws with new production and we finished the quarter even with the start of the quarter.
 Pipelines and new closings grew significantly during March as production levels have increased over the past month. Our loan growth over the past year has been bonded to a combination of lower cost core deposit growth and maturing securities as part of our continued balance sheet remix initiative.
 Lower cost core deposit growth generated through the Marcellus and Utica shale initiative, as well as through our continued focus on acquiring new households, allowed us to generate $209.5 million or 4.2% growth over the past year. Every deposit category grew with the exception of CDs, which decreased due to lower rate offerings for maturing CDs.
 Non-interest bearing demand deposits grew by $134 million or 15.1% over the past 12 months. We continue to take advantage of the balance sheet liquidity that shale related deposits are providing and use those deposits to reduce our higher rate borrowings. The ability to reduce deposit and other borrowing costs has provided us the opportunity to optimize our funding cost and improve our net interest margin.
 This deposit remix strategy has been very good for us and will be an even stronger strategic advantage for us in a rising rate environment. We have the geographic good fortune of having 71% of our franchise footprint located within shale-related areas. Bob will speak more about the margin in a few minutes.
 Our trust fees were a source of strength for us during the first quarter, as well as over the past year. First quarter trust fees increased 12.6% compared to the same quarter last year. Trust assets have increased 8.7% over the past 12 months as assets under management continue to benefit from our customer development initiatives and an overall market improvement.
 Securities brokerage revenues increased to 22.2% as compared to the same quarter last year, with both existing markets and newer markets contributing to our growth. Our strong background and expertise in the trust and securities businesses continue to be effectively leveraged across our franchise.
 We continue to execute upon our investment management initiatives in an effective manner to help our customers manage their new found shale-related wells. We’ve been holding a series of well received town hall meetings across our Ohio Valley markets to discuss investment options available to local residents who are benefiting from shale related activities.
 Customer royalty payments provided $64 million in the first quarter deposit flow into our bank. We expect this trend to continue into the future. Expenses were very well managed with non-interest expense down 1.6% for the first quarter compared to the same period of last year. Driving positive operating leverage with our capital and human resource investments is a frequent focus of discussion.
 How we allocate capital across our businesses on a risk adjusted basis is a discipline I plan to continue to drive at the company. We have tools to do this today, but those tools will continue to be refined as we grow. Credit quality continues to be strong, charge-offs stood at just 0.43% of total loans for the quarter with both criticized and classified loans continuing to decrease to more normalized levels.
 Overall, I feel very good about the first quarter performance of the bank. We continue to focus on the same loan diversification and asset rebalancing strategies that have been communicated on previous calls. Our reinvestment strategy is yielding results and we continue to be optimistic in our ability to compete in all of our markets.
 We plan to continue to reinvest back into the company as appropriate to develop our talent, improve our facilities, and take advantage of technological advances. We’ve hired several new business development resources in our urban growth markets over the past few months and we will continue to be optimistic with regard to top talent in all of our markets.
 We believe we’re one of the best positioned banks in the country to take advantage of the natural gas play through the low cost funding and investment management opportunities I’ve just discussed.
 On the acquisition front, we remain interested in acquisitions within our existing footprint, as well as in urban areas contiguous to our existing footprint. We feel that we are well positioned and have the capital position to take advantage of such opportunities. The transition windfall has gone very well, looking forward to leading the WesBanco team into the future.
 I would now like Bob Young, our CFO to discuss with you in more detail the financial results of the quarter. 
Robert Young: Good morning. As Todd mentioned, per share earnings were up 7.7% over the fourth quarter and 1.8% over last year’s first quarter. Both return on average assets and return on tangible common equity improved over fourth quarter ratios and the efficiency ratio remains low at 60.57%.
 Our 18 bank peer group data available from 2013 shows our first quarter 2014 ratios exceed the comparable figures from last year of 1% for ROA and 11.88% for return on tangible common equity versus our 1.08% and 15.4%. And the peer efficiency ratio was 63.54%, some 300 basis points higher than ours.
 Pre-tax pre-provision return on average assets was 1.71% for the first quarter. This is the first quarter with the late 2012 acquisition of Fidelity Bank Corporation in Pittsburgh, Pennsylvania, which fully reflected in both comparable periods.
 Turning now to the details on the income statement. Net interest income. Factors influencing the $1.2 million or 2.6% growth in net interest income year-over-year include 3.1% higher or average earning assets fueled by 5.7% growth in average loans and lower interest expense even though we experienced a 3.4% growth in total deposits.
 While total net interest margin was about the same as last year’s first quarter at 3.63% versus 3.64%, excluding purchase accounting related accretion from both periods, the margin would have been 3.58% this period versus 3.50% in last year’s first quarter, an 8 basis point improvement.
  WesBanco experienced a 30.1% drop in higher cost federal home loan bank and other borrowings and higher cost CDs decreased by 8.5% while lower cost transaction accounts increase by 9.3%. Deposit costs declined 24 basis points to 45 basis points overall from last year primarily due to a 54 basis point cost decrease from maturing CDs and an increase in lower cost transaction accounts.
 Total funding costs dropped to 56 basis points, down 25 bps as borrowings matured or repriced. Continued improvements in both earning assets and costing liabilities mix, as well as an 8.7% increase in average demand deposits assisted in this core margin increase.
 Turning now to non-interest income and expense, while non-interest income decreased 2.6% period-over-period, excluding a $1.1 million bank owned life insurance gain in last year’s first quarter, non-interest income was up 4%, fueled by a 12.6% increase in trust fees, a 5.1% increase in debit card, and other electronic banking fees and a 22.2% increase in net securities brokerage revenue. Somewhat offsetting these increases were reduced service charges down 8% due to lower seasonal usage patterns and higher average deposits both in total and per account. Also, as mortgage volumes have decreased industry wide since mid 2013, a 56% decrease in WesBanco’s production, as well as a lower percentages of mortgages sold into the secondary market, caused a 78% reduction in mortgage banking related gain on sale income in the first quarter.
 The percentage of refinances was 32% in the first quarter down from last year’s 61% while 37% of the total $46 million in mortgage volume was sold into the secondary market versus 42% last year. New Dodd-Frank qualified mortgage and ability to repay rules also had an impact on improved mortgage volumes.
 Despite seasonally higher expenses for a net occupancy and certain fringe benefit categories, overall expenses were down from last year’s first quarter. Excluding merger related expenses in last year’s first quarter, expenses were only up 1.3%. Combined salaries and employee benefits both lined together were flat with last year as reduced pension expense more than offset higher healthcare and normal salary increases, while seasonal maintenance expenses and the opening of 2 branches influenced net occupancy. Higher equipment costs were due to continued upgrades in information technology and communications infrastructure for our mainframe computer, disaster recovery backup systems, mobile banking enhancements and branch technology improvements, such as teller cash recycling machines, and updated ATMs.
 Marketing expense was higher due to customer incentives earned on prior account openings, while drops in FDIC insurance expense, intangibles amortization, the aforementioned merger related expense, communications expense and REO foreclosure expense helped to hold total non-interest expense relatively equal to last year.
 A higher effective tax rate for the first quarter of 2014 up 25.6% versus last year’s first quarter of 22.9% along with higher pre-tax income caused a 19% increase in income taxes.
 Turning to the balance sheet, total assets were up 2.7% from last year and 1.5% from year-end. Total portfolio loans were about the same as at year-end but up 5.5% or $203 million from last March 31. In the first quarter, commercial loans and lines of credit were up slightly, while mortgage and consumer loans were down due to lower demand, some of which was weather related earlier in the quarter.
 Overall, loan originations decreased from last year’s first quarter due to weather-related delays in anticipated advances on commercial real estate construction loans, prudent pricing and underwriting of new loans, and certain larger pay-offs of recently constructed commercial real estate projects. However, pipeline’s firmed towards the end of the quarter suggesting better volumes as spring progresses.
 Loan originations total $1.5 billion over the past 12 months up 8.5% over the prior 12 month period. Expansion into the Pittsburgh market, increased business activity in the Marcellus Utica fairway and additional commercial and mortgage lending personnel contributed to this increase.
 Credit quality continues to improve with non-performing loans down 19.4% from last year and 1.1% from year-end to 1.31% of total loans. Criticized and classified loans decreased 23.1% from last year and 4.7% from year-end. Total delinquencies also dropped to just 42 basis points from last year’s 51 basis points. Net charge-offs were 43 basis points for the first quarter compared to last year’s 34 basis points; one C&I credit with a $1.8 million charge-off in the first quarter resulted in this increase.
 The allowance for loan losses was 1.17% of total portfolio loans at period end compared to 1.40% last year. While the provision for credit losses in the first quarter was $2.2 million about the same as last year. Future increases or decreases to the provision and allowance are dependent upon the direction of credit quality, loan growth and other judgmental factors.
 Total shareholders’ equity improved at quarter end to $761.1 million up 5.1% from last year and 2% from year-end. At March 31, Tier I leverage was 9.45%, Tier I risk based was 13.3% and total risk based capital was 14.4%. All increased in very strong ratios.
 Tangible equity improved to 7.49%, up from 7.04% last year and 7.35% at year-end. As Todd noted earlier, strong equity ratios permitted the Board to recently increase the quarterly dividend rate to $0.22 per share.
 In summary then, management is very pleased with our first quarter performance, despite seasonal issues affecting certain categories of non-interest expense and loan production, but no other unusual items. However, core margin improvements and higher wealth management fees along with control over total expenses and continued improved credit quality resulted in improved earnings per share and core profitability measures. We are excited by our start to 2014 and look forward to our continued growth as we progress through the rest of the year.
 This now concludes our prepared commentary and we will open the call for questions. Jim Gardill, Chairman of the Board, will moderate the Q&A session. We will turn the call back to the facilitator now for questions. 
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And our first question comes from Catherine Mealor of KBW. 
Catherine Mealor: I’ll first welcome Todd and congrats to Paul on your retirement in a few weeks. 
Paul Limbert: Thank you. 
Catherine Mealor: Just a couple of quick questions first on the margin; what is your outlook for the NIM going forward? It’s the first quarter in a while where we saw loan yields flat. Do you think that, that compression is stabilizing or was that maybe just for one quarter pause? 
Robert Young: Catherine, we had said in the past that about 4 basis points of our margin is related to purchase accounting accretion from the Fidelity deal and the bulk of that is in loans. That’s also much lower than last year at this time, we had 14 basis points, for instance, in the first quarter of 2013.
 I think we have reached a bottoming in our loan yields, but I would remind you that we always have credits for the repricing, we have some 3 and 5 year repricing credits and certainly if they were booked earlier in this cycle subject to whatever floor rates they have in their contracts, they could still yet reprice. But I think in terms of new loans and how they mix in with the existing loan portfolio, relatively speaking, we’re close to the bottom there on loan yields.
 Relative to your question about margin in general, given the 4 basis points is about what it will be for the next year or so, we’re predicting 3 basis points in accretion-related margin for instance in 2014. Given that there is still about $40 million of higher cost advances in repos that have led -- yet to reprice, given that we still have -- we have it out in the Q here in a couple of days, a disclosure on the amount of CDs that have yet to reprice. They will reprice at about 83 basis points as I recall, I don’t remember the exact amount.
 We still think there is some improvement on cost of funds. And certainly the demand deposit increase does assist our margin as well. So, a slight growth in the margin is what we said last quarter and we’re still standing beside or behind that. 
Catherine Mealor: Okay.  And then as a follow-up, you mentioned in your press release to focus on achieving a greater diversification on loan portfolio, which tempered growth a little bit this quarter. Can you expand a little bit on your strategy there. I’m assuming a piece of that’s pulling back on the residential mortgage growth? 
Paul Limbert: Yes, that’s a great question. Part of it is there. I think that there is -- we look at all of our markets and saturation points in markets by product type as well too and looked at a product type or 2 that we thought we’ll be able to saturate it in some markets. So, what we’ve done is participated out some loans, so you won’t see the balances there, but hopefully you will see some fees associated with that.
 So just to kind of manage the concentration levels in a couple of different markets, again, we’ve had a number of opportunities that we’ve done, but we haven’t taken the whole deal. We have the right to pull some of those back if we want the balances at some point in the future. But just from an overall risk management strategy and looking at the entire portfolio and making sure that we are growing the balance sheet of the bank in a good solid diversified way. That’s part of our strategy is loan diversification. It has been the strategy and we’re going to continue it as we see the different markets develop as to product type and saturation points. 
Operator: Our next question is from Scott Valentin of FBR. 
Scott Valentin: Paul congratulations on your retirement and Todd welcome. Just with regard to the tax rate, Bob you mentioned tax rate was around 26%, up a little bit. Is that the rate to use going forward or should it actually come back down? 
Robert Young: No, we’re not predicting that will come back down. That is higher than last year’s 22.9%. Our earnings grew throughout last year. And so if you looked at the fourth quarter effective tax rate, it’s closer to where we are at the present time. There are some permanent adjustments that factor into the overall effective tax rate, but around the 25.5% to 26% is what you should be modeling at this stage. 
Scott Valentin: Okay.  And then on the trust fees, they were stronger than we expected. I know the Utica and Marcellus Shale are paying dividends in terms of gathering assets. Was there anything special during the quarter, you mentioned your outreach programs and townhall meetings? Were there any kind of especially high inflows in AUM or is that just kind of reflective of kind of just all the work you’ve been doing to gather assets? 
Paul Limbert: Scott,  I think it’s the combination of both growth in market and also acquiring new assets and building business. So we’re acquiring assets under management, we’re also growing assets, and the WesMark Fund's increased in market value during the year. So, it was the combination of a number of factors year-over-year and quarter-to-quarter. 
Scott Valentin: Okay. 
Robert Young: One other factor would be that we do take tax fees on our filings, our fiduciary and income tax returns that are filed in the first quarter for trust customers. That’s give or take, around $0.5 million and if you look historically, our first quarter tends to show up a little higher than the remaining 3 quarters of the year depending upon how the market is playing out. 
Scott Valentin: And then one final question, I’ll jump back in the queue. On mortgage banking, obviously, that entire industry has seen a decline in volume. Just wondering what you’re seeing going forward. And you mentioned I think a lower percentage of loans are sold this quarter. Is that a reflection of the strategy going forward or is it more a reflection of the mix and what you want to retain? 
Paul Limbert: I’ll speak to that first, Scott, and I guess the QMATR do have an impact and as noted in the commentary, it is having an impact on the entire sector. I think from a strategy perspective, we’re going to continue to try to build off of our purchase  loans because of the broad network that we have from our branches. We think we’ll continue to produce mortgage lending and Todd is working on that. Todd, a couple of comments? 
Todd Clossin: Yes. We’ve got some strategies in place and I am looking at the number of close referrals per banking center to the mortgage loan area. We really want to leverage the retail franchise that we have across our footprint. We built out a nice branch footprint.
  I think there's  opportunities for us to leverage that better, identify opportunities, get them over to the mortgage loan group, get those closed. I’ve got numbers of metrics by branch that I’ve got going out there for everybody and we’re tracking that pretty closely. So, it’s providing bill recycling sales management perspective across all of our markets to help drive that. So, we do have initiatives within the mortgage loan group from a calling perspective to drive production. But I also want to make sure we're leveraging the entire franchise in all 120 locations we have to build that up. 
Operator: [Operator Instructions] And our next question is from William Wallace of Raymond James. 
William Wallace IV: I’ll echo Catherine and Scott’s sentiment and say congrats to you, Paul and welcome, Todd, look forward to meeting you.  
    My first question, I wanted to go back, Bob, to the commentary that you had with Catherine on the margin. When you talk about a slight expansion in the margin, you’re talking about on a GAAP basis, is that correct? 
Robert Young: I am talking on a GAAP basis, that’s correct. 
William Wallace IV: So the presumption would be that you should start to see that 4 basis point benefit decrease over time, is that correct? 
Robert Young: Well, I think I mentioned to Catherine that while it was much higher last year and then I talked about the core margin growth this quarter over last year, which is truly a reflection of the $200 million in loan growth over the past year, the remix strategy that we have been working on in both assets and in our deposit categories. So that 8 basis points is a reflection of the remix as well as the lower cost of funds. But we’re predicting, Wally, that the 4 basis points, the run out on the purchase accounting is 4 basis points this year, it’s 3 next year. So, relatively, the difference between ‘14, ‘15 on core isn’t that much. We’re still saying that based upon our current modeling which includes some element of loan growth and continued remix that the margin would continue to slightly improve. 
Todd Clossin: Wally, on that point, I think we have to consider that the margin is not a static and we continue to use the tools at management's disposal to continue to refine how we’re addressing funding and how we’re addressing borrowing.
 So, it’s not a static and we continue to deploy those tools and wield the balance of the year. And then I think it’s back to Cathy’s questions about loans. We have a diversity of markets where we have different tools that we can deploy in these different markets and they are diverse enough to be able to have advantages in some markets where we don’t have in others, the same with the margin. I think we have the management tools with our deposit inflows, the reduction in borrowings to be able to manage that going forward. 
William Wallace IV: And then on kind of in that same vein of 2  more questions, on the loan side, if I look at the year-over-year balance as you are up 5.5%, would your commentary suggest that you would expect to end 2014 slightly better than that, maybe in kind of the higher single-digit range or higher mid single-digit range? 
Robert Young: Yes, it’s hard to estimate loan growth numbers, it’s early in the year. What I would tell you is when I look at the individual sub categories that we’re looking to grow the loan market and small business, it would be C&I business, the home equity product focus that we got as well, too. I feel good about where we are positioned and growing those. When it gets to the commercial real estate, particularly construction market, that’s driven by a lot of different dynamics and a lot of different factors. We have a lot of construction loans that will fund up during the course of the year. Obviously we mentioned already we had a light first quarter in construction fundings because there wasn’t a lot of work done because of the weather. Timing of those projects and how that funding occurs, how quickly things go to the permanent market, which has been faster and faster, we’ve got some projects talk to some developers that they are getting closed on permanent financing and their projects are less than a year old, not even stabilized yet.
 So it’s hard to predict all of those different dynamics and variables in terms of where that’s going to shape out for the remainder of the year at this point. 
William Wallace IV: Sure, it’s hard to predict, obviously for us too, but it sounds like it’s fair to say that you guys are optimistic that the loan growth could accelerate as the year progresses based on everything that you’re seeing now, even though we still have a long runway? 
Robert Young: Yes. We saw a real bounce back in our pipeline in March and we are very, very encouraged by that and some of the strongest weeks in a year, so, in terms of loans that were closed and the pipeline build. So we are encouraged by that. 
William Wallace IV: And then, Bob, in your commentary, you mentioned the re-pricing of CDs, I think you said last quarter you had $800 million in CDs that were going to re-price in 2014. And it sounds like you are going to disclose in the Q what’s left. Can you give us an idea of maybe what re-priced in the first quarter? 
Robert Young: I don’t have the number on what re-priced in the first quarter. I would say would between $150 million and $250 million. The most expensive CDs because of a 5 year special that was run about 5 years ago, did re-price between September 15 and the end of the year, that was a little bit of residual in the first quarter. But I don’t have the exact amount of CDs that re-priced in the first quarter. Wally, I’ll have to get back to you on that. 
William Wallace IV: And did you say where the average re-pricing of new CDs is now, did you say 83 basis points? 
Robert Young: I did say that. 
William Wallace IV: Okay. And that was 87 last quarter, so you're still bringing the rates down. 
Robert Young: There is still opportunity, we believe, on the CDs for continued re-pricing. And yes, we did drop below 1% on CDs this quarter. 
Todd Clossin: Todd, I would just add to that the liquidity that we are seeing again from our deposit generation activity as well as the niche bids around the shale activities is bringing in quite a bit of low cost to deposits. From a funding perspective, this puts us in a pretty enviable position. Those deposits, we also think are going to be pretty sticky as rates start to trend up at some point as well. But it’s a fairly steady flow into the banks. So, I think we have got a bit of a competitive advantage there, quite frankly, from a funding strategy standpoint long-term, because of our geographic position. 
Robert Young: Wally, I did find it, it’s 803 million over one year at 86 bps. 
William Wallace IV: Do you have what went in the first quarter? 
Robert Young: I don’t have that. 
William Wallace IV: Okay. And then last question on the deposit side. Todd, to your point about having advantage based on your geography, have you guys revisited your strategy as far as duration on your deposits? Have you thought about going little bit longer now on the CDs, given any of the commentary we’ve seen out of the fed, or have you -- has your strategy remained the same as it has the past couple of quarters? 
Todd Clossin: I would tell you -- this is Todd again. As I started to transition into the role with Paul, we’ve been having some conversations  around just that topic. Obviously, our asset liability management in general and what our longer-term funding strategies are going to be and how we want to position ourselves to take advantage of the low rate environment we’re in coupled with the geographic positioning I mentioned to you earlier. So, we don’t have anything new to report on that front right now. Just we’ll continue to evaluate it based upon interest rate forecast and funding position that we see ourselves in, but no dramatic changes in direction there right now.
    Wally, on that issue, as we said in the material, the demand deposits grew by $134 million which is 15% over the past 12 months. So, we’ve had the luxury of low cost deposits and we’ve not had to lock in pricing, though the strategy of being able to lock in at lower rates is something that some might be doing and that’s certainly a strategy available to us. 
Robert Young: Wally, first quarter re-pricing CDs just over $250 million at around 90 bps. 
Operator: And our next question is a follow-up from Scott Valentin of FBR. 
Scott Valentin: Yes. Just a quick follow-up question on M&A, it sounds like the strategy has not changed. Just wondering if you’re seeing any change, some potential targets. Are they more open to discussing M&A? 
Todd Clossin: Well, Scott, I think that’s always a fluid situation now. We saw a couple of announced deals during the quarter. We continue to stay active in that arena. As you know, we’re not a size strategy, we’re performance strategy. And so we look for the opportunities that would enhance our franchise. The dialogue with the smaller banks continues. The market opportunities are there. It’s a matter of sourcing the right fit for us that can build performance as opposed to size. 
Scott Valentin: Okay, good. And kind of the general thought as you mentioned QM and other regulations coming on board, that it’s getting tougher and tougher to operate a small bank and so there might be some people reaching to breaking point now, looking -- maybe saw an increase in receptivity to M&A discussions? 
Robert Young: Yes, they are carrying a heavy load, both from a regulatory side and new regulations and compliance, but also then the strain on their mortgage lending opportunities and the flow on mortgage lending. So I think they are feeling the pressure much more significantly. All of us feel the cost of the regulatory environment that we live in today. 
Operator: And this concludes our question-and-answer session. I’d like to turn the conference back over to Mr. Gardill for any closing remarks. 
James C. Gardill: Thank you very much, Emily. We appreciate the opportunities today. First of all, I want to offer my congratulations to Paul. 37 years with the bank is a great career. He helped us navigate a challenging decade in banking and I think he positioned the company well for the future.
 He almost tripled the size of the bank from 2.5 billion when he took over as CEO to 6.2 billion today. We’ve achieved excellent results under his leadership and we’ve produced very competitive total shareholder returns.
 So again, congratulations to Paul on what he has contributed here and how he has served WesBanco well. The transition in leadership has gone very well. It’s been successful, it’s been smooth and it’s been without disruption. So, again, I think it’s a credit to both the professionalism and the skill of both Paul and Todd as they’ve worked into these new roles.
 I think also that the first quarter results are a manifestation of the transition and the success of it. Todd’s tenure begins next week, we’re excited about our prospects. We’re pleased to have his leadership in our company. And we look forward to continued growth and development of our franchise. We also look forward to continued emphasis on the long-term growth of the company.
 So in conclusion, I would just say, we’re pleased to have this first quarter in the hopper and it was a strong quarter and thank everyone for participating in today’s call. 
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.